Operator: Good afternoon, ladies and gentlemen, and welcome to the Morguard Real Estate Investment Trust 2025 Fourth Quarter Results Conference Call. [ Operator Instructions ] This call is being recorded on Thursday, February 12, 2026. I would now like to turn the conference over to Andrew Tamlin, Chief Financial Officer. Please go ahead.
Andrew Tamlin: Thank you, and good afternoon, everyone. As mentioned, my name is Andrew Tamlin, Chief Financial Officer of Morguard REIT. Welcome to the Morguard REIT's Fourth Quarter 2025 Earnings Conference Call. I am joined this afternoon by John Ginis, Vice President of Retail Asset Management; Tom Johnston, Senior VP of Western Office Management; and Todd Febbo, Vice President of Office Asset Management, Eastern Canada. Thank you all for taking the time to join the call. Before we get into the call, I would like to point out that our comments will mostly refer to the fourth quarter 2025 MD&A and financial statements, which have been posted to our website. I refer you specifically to the cautionary language at the front of the MD&A, which would also apply to any comments that we make on this call. Our fourth quarter results were very much in line with expectations. We have continued to see softness in the office numbers with an expected decline in net operating income from Penn West Plaza transitioning to a multi-tenant building. Our retail results were stable with good rental growth on lease renewals for both our malls and retail strips. In the third quarter, we had highlighted that we had a large onetime prior year property tax refund received from one of the Trust's enclosed shopping malls. The final accounting for this represented a positive $3.8 million onetime impact on net operating income for the year. This primarily represents the portion of the refund that has been allocated to either vacant space or space where otherwise the landlord is entitled to keep the refund. We have known for some time that 2025 is going to be a tough year due to the market rent resets at Penn West Plaza in Calgary. The impact of this has continued throughout the year and finally into this quarter. The 11-month impact of this adjustment in 2025 was $16 million. This decline at Penn West Plaza is due to the expiration of the Obsidian head lease on February 1, 2025, which has resulted in a reset of rents for all tenants to current market rates. Effectively, this building has transitioned from a single-tenant building to a multi-tenant building. We are pleased with this transition, and it has resulted in an occupancy of Penn West Plaza at 81%, which is a strong rate for the Calgary marketplace. Significant inducements of opening free rent and free operating costs to secure various tenancies are also impacting the Penn West Plaza. [Technical Difficulty] Sorry about the interruption. Our net operating income for the fourth quarter declined from $33.5 million in 2024 to $29.1 million in 2025. As mentioned, this decline is primarily due to the results from the Penn West Plaza asset. Looking at 2026, we do expect our retail results to remain stable. While we have a partial year of the missing bay income to work through, we are still seeing positive retail fundamentals, and there are some retail developments we are working on, which I will touch on in a few minutes. We are expecting to see some continued softness in the office numbers in 2026 as we work through some vacancies in certain markets. Our leasing teams have noticed increasing interest in tours for office space in major urban areas as companies continue to push their employees to get back in the office. We are cautiously optimistic that this will translate into future office leasing deals into late 2026 and into 2027. Touching on The Bay. On Friday, March 7, 2025, The Bay filed for creditor protection under the Company's Creditors Arrangement Act. The Trust has two Bay locations comprising a total of 290,000 square feet of GLA, one at Cambridge Center in Cambridge and one at St. Laurent in Ottawa. The Trust's annualized gross rent earned from The Bay leases was approximately $1.5 million. In the second quarter, the Trust lease with The Bay at Cambridge was disclaimed. The remaining lease at St. Laurent was subject to a bid by Ruby Liu Commercial Investment Corp. On October 24, the Ontario Supreme Court rejected the proposal by Ruby Lui for the creation of a new Canadian department store chain. Subsequently, the St. Laurent lease was disclaimed on November 27, 2025. Management is now looking at future opportunities for these locations and are organizing short-term tenants to replace some of The Bay income. Notwithstanding the failure of The Bay, there are still lots of positives in the retail sector. We are seeing positive rental growth on lease renewals, and there remains lots of good conversations involving well-known national brands. It still remains quite expensive to construct new retail space and hence, a lot of retailers are looking at options in existing buildings rather than building new space. Further, with the exception of one location, our community strip centers are full at 99% occupancy. Sales and traffic numbers at our enclosed malls also continue to be strong. Turning to financing and liquidity. The Trust has $68 million in liquidity at the end of the year, which is down from $81 million in liquidity at the end of 2024. The Trust has $219 million in unencumbered assets along with some up-financing opportunities in 2026. The Trust believes that it has adequate liquidity to address current development initiatives. The Trust interest expense declined $1 million for the quarter primarily due to a decline in short-term variable interest rates on a year-over-year basis. Total interest expense is down almost $4 million for the full 12 months. During 2025, the Trust renewed 8 mortgages totaling $166 million, lowering the interest rate from an average of 5.4% on these mortgages to an average of 4.95% on renewal. The Trust has approximately 21% of its debt as variable at the end of the quarter, which has increased from 15% at the end of the year. We do expect to see selected opportunities for up financing in 2026 as we are currently in discussions with a number of lenders about these renewals. In general, we have seen this market open up more in the last year with lower spreads, especially on attractive assets, along with lenders being more open to look at lending opportunities for office product. The Trust continues to focus on paying down its debt, which has declined by more than $100 million over the last 4 years. As mentioned in past quarters, the Trust's operating capital reserve increased from $25 million annually to $35 million in 2025 to account for both fire repair costs as well as leasing costs. This represents $8.750 million per quarter. Actual spending for the year was $36.8 million, which was slightly down from last year's operating capital spend. A significant portion of the $15.3 million leasing capital was to secure office tenancies, which included new tenancies at Penn West Plaza, along with other office renewals in Vancouver and Montreal. Looking at our accounting for real estate properties. During the quarter, we had $20 million in fair value losses and $62 million in losses for the year. In both cases, these adjustments are primarily coming from the office asset class. Our overall occupancy level of 85.1% at December 31, 2025, has declined from 86.6% at the end of September due primarily to the extra vacancy from The Bay at St. Laurent. The decline from 91.2% at the end of 2024 is due to the increased vacancy at Penn West Plaza, along with the disclaimed Bay lease at Cambridge and St. Laurent. As mentioned in past quarters, we are now embarking on a strategic merchandising program for St. Laurent, which will see the addition of some new nationally recognized brand names being added to the tenant roster, along with expansion plans for other tenants on the existing tenant role. The current development spend in the amount of $6.4 million includes build-outs for tenants such as Sephora and H&M. These are all now open, and we've received very positive reviews about their impact. We ultimately expect to spend in the range of $25 million to $30 million as we look to add more discriminating tenants and also look to activate the former Sears space at St. Laurent. We are working on this future phasing as we look to ensure a stable, sustainable and traffic-generating mix of tenants to this asset, and we'll advise further details as they are available. The Trust has also had two No Frills grocery deals, which have been undertaken. During the fourth quarter of 2025, a new No Frills grocery store opened at Parkland Mall in Red Deer. This cost was $1.5 million and was activated -- and activated previously vacant space. There is also a new No Frills opening at the center in Saskatoon in early 2027 with a cost of approximately $5 million. The Trust believes that both of these new stores will be strong additions to these malls. Discussions have previously stalled with the provincial government tenant at Petroleum Plaza in Edmonton, which came up for renewal back on December 31, 2020, and is still in overhaul. At this point, there is still nothing to report in regards to discussions or when the space will be officially renewed. In looking at leasing renewals for 2026, the vast majority of the 1.6 million square feet of space coming up for renewal has already been contracted for renewal. Every retail tenant greater than 20,000 square feet is either renewed or expected to renew. This includes a Walmart and a Canadian Tire, which are both greater than 100,000 square feet. Further, there is only one office tenant greater than 10,000 square feet that we don't expect to renew. This includes 164,000 square feet in Montreal and 110,000 square feet in Vancouver. Wrapping up, we continue to believe that there are strong fundamentals in the retail leasing environment and that the office fundamentals have changed for the better. We are looking forward to continued positive leasing conversations for all of our assets. Most of our enclosed malls remain dominant in their geographical area and our strip malls, which are largely grocery-anchored, have performed steady. Beyond our retail assets, we have high-quality office buildings in Canada's largest markets with a high degree of government office tenants. We continue to be positive about our business and the objective of building value for our unitholders. We look forward to continuing to execute our strategy, and thank you for your continued support. We will now open the floor to questions.
Operator: [Operator Instructions] Your first question comes from Jonathan Kelcher from TD Cowen, Canada.
Jonathan Kelcher: First question, just on, I guess, the HBC backfill and I guess, larger more on the St. Laurent. I guess on the St. Laurent, the $25 million to $30 million that you talked about, like what should we sort of think about in terms of over how long a period that would be?
Andrew Tamlin: Yes. John Ginis will expand on that, can you give me some more color?
John Ginis: Okay. So as Andrew noted in his introductory remarks, we have exposure to two locations, Cambridge and St. Laurent. Cambridge, we're evaluating longer-term options as we speak, but we probably will look to invoke a short-term solution in the immediate term just to carry us through and we get some footfall through that box into the mall. With respect to St. Laurent, Andrew also noted that a sizable investment program on repurposing one of our anchor boxes, but his reference was to our former Sears location because this shopping center in St. Laurent had both the former Sears and an HBC. So the $25 million to $30 million refers to work that we look to conduct at some point over the next 2 years to repurpose a portion of the former Sears box. As it relates to HBC, again, we are evaluating longer-term objectives with respect to that box. It is 2 levels, almost 160,000 square feet. But in the short term, we're looking to activate both the upper and the lower levels, and we're currently working through some transactions whereby we would do that.
Jonathan Kelcher: What sort of tenants would you put in there short term? What type?
John Ginis: In the HBC?
Jonathan Kelcher: Yes.
John Ginis: Yes. So we're targeting fashion-focused retailers at this juncture because that's where the demand has been expressed to us. So -- and branded ones, not like ones that you will see across the country. So -- and again, it is a sizable footprint of both the upper and the lower levels. So -- but we're just following up on that and hoping to execute a short-term solution probably in the next few months for both levels.
Jonathan Kelcher: Okay. So you think we can see some NOI from those spaces in 2027?
John Ginis: Absolutely. With respect to HBC hoping in 2026. As it relates to the Sears situation, there's a lot of work to be done. And again, going back to the number that Andrew quoted, it's not an insignificant amount, the $25 million to $30 million. But we're currently finalizing hopefully some lease transactions on repurposing one level of that space, but the NOI contribution from those tenants won't occur until 2027.
Jonathan Kelcher: Okay. And then secondly, just on the -- good to hear that most of your lease maturities are already spoken for this year. But on the retail side, just given the strength in the market right now, what sort of uplifts are you expecting to get on the renewals?
John Ginis: It depends on what we're talking about here, right, Jonathan. We, as you know, our retail portfolio is split between two subsets, one being the enclosed malls and the other one being the open-air community or grocery-anchored strip centers. So as Andrew, again, going back to his comments, we have really solid occupancy in our community in our grocery-anchored strip centers. I think it's 99%, if memory serves me right. So there, where we are fully occupied, it's easier for us to get some good renewal spreads when tenants roll because of limited new supply. On the enclosed mall market, we've been very fortunate, again, because of the cost issues associated with building new retail and tenants looking to expand. We've been fortunate we've been able to cure our vacancy in some of the malls, albeit we took a hit clearly with the HBC situation here. So our data suggests that our occupancy is 86%. But if you strip those out, we're probably close to historical occupancy numbers in the mall. But when you -- to answer your question directly, better on the community anchored -- the community-based strip centers relative to the malls, but still, we're seeing some pretty good spreads on renewal and that's showing up in the results as part of our MD&A disclosure.
Andrew Tamlin: I probably highlight, Jonathan, that within 2025, the malls were about a 5% uplift and then the strips were about a 9% uplift.
Jonathan Kelcher: Okay. And would that be fair to think about going forward in '26, given like ballpark those numbers?
Andrew Tamlin: In the retail space, it's always contingent on factors you can and can't control. All else equal, we feel pretty confident about our retail portfolio and our ability to grow our income.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call over to Andrew Tamlin, Chief Financial Officer. Please continue.
Andrew Tamlin: Thank you, everybody, for joining us for the call this afternoon, and we look forward to seeing everybody next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.